Operator: Good day. And welcome to the Q1 2025 UFP Industries Inc. Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Mr. Stanley Elliott, Director of Investor Relations. Please go ahead.
Stanley Elliott: Good morning, everyone and thank you for joining us to discuss our first quarter year results. Joining me today on the call are Will Schwartz, our Chief Executive Officer and Mike Cole, our Chief Financial Officer. Will and Mike will offer provide prepared remarks and then we’ll open the call to questions. This conference call is available simultaneously to all interested investors in news media through the Investor Relations section of our website, ufpi.com. A replay of the call will be posted to our website as well. Before I turn the call over, let me remind you that today's press release and presentation include forward-looking statements as defined in the Private Securities Litigation Reform act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from expectations. These risks and uncertainties also include, but are not limited to those factors identified in the press release and in the company's filings with the Securities and Exchange Commission. I will now turn the call over to Will.
Will Schwartz : Thank you. Good morning, everyone. And thank you for joining us to discuss our first quarter 2025 earnings results. The challenging trends we discussed with you on our last call in February have continued, and the macroenvironment has become increasingly uncertain. Operations remain challenging, and we are focused on multiple levers under our control to improve results going forward. Despite a slower start in January and February, we are more encouraged by recent business trends. Business activity improves sequentially in each month during the quarter, with March trends continuing into the first three weeks of April. While we are encouraged by these recent trends, we would also note that visibility remains limited in this current environment. Regardless of the backdrop, we have a sound strategy in place and the right people to execute on our strategies. We will continue to focus on things under our control to deliver improved results going forward. We are on track with our cost-out programs and have levers to pull should a market recovery fail to materialize. Our portfolio is more diversified and better positioned than at any point in our 70-year history to win in the marketplace. Lastly, we finished the quarter with $905 million in cash, giving us ample flexibility to continue investing in our future while maintaining our conservative capital structure. We believe this positions us well in any environment. Turning to the quarter, first quarter sales generally matched our expectations for low single-digit sales declines despite the slower start to the year. Total sales declined 3% from year ago levels. Business improvement from January through the end of the quarter allowed us to recover many of the volumes lost early, but manufacturing variances and higher material costs couldn't be overcome. Pricing remains competitive across most markets given the lack of forward visibility. All of this contributed to our earnings per share of $1.30 and adjusted EBITDA of $142 million for the quarter. Margins remain pressured from unfavorable manufacturing variances, competitive pricing, higher input and transportation costs, and unfavorable mixed shifts. We believe some of this shortfall is timing, and we remain on track to realize $60 million of structural cost savings from our cost-out and capacity reductions by 2026. We also stand ready to further adjust our cost structure depending on what the market environment dictates. Despite ongoing market volatility, our go-forward strategy remains unchanged, and we will continue to focus on what is under our control and invest in the strategies that have made UFP Industries so successful over the long term. We will continue targeting markets that we believe can deliver higher growth rates and make the necessary organic and inorganic investments to drive these results. We will continue to focus on expanding more value-add products and innovation across the portfolio, with a focus on expanding our margins while de-emphasizing underperforming products and operations. We will continue to closely monitor our expenses and our plant network as well. And finally, all of this will be underpinned by our commitment to maintaining our strong return on capital profile and conservative capital structure, which will remain at the center in guiding our strategy. New product sales totaled $106 million in the quarter, or 6.7% of sales. We continue to see a pathway for these new products to become 10% of sales over time. We are seeing momentum across the portfolio and are excited about these products' growth potential and margin opportunities over time. A good example of this is our proprietary mineral-based Surestone technology. At the recent IBS trade show in Las Vegas, we launched a new line of decking boards featuring Surestone technology. We also introduced our Surestone-based trim offerings, which will be released in late 2025. Last quarter, we shared that we have secured 1,500 new retail locations for 2025, and we are also actively adding stocking relationships with traditional two-step building products distributors. The new products are shipping to retailers and distributors as we speak. To meet this demand, we continue to invest in our existing manufacturing capabilities to drive increased productivity and throughput. We are also actively expanding the geographic reach of our manufacturing capacity. In the quarter, we announced plans for a new Deckorators facility in the Northeast. All of this is part of our capital expansion plan for Deckorators, which provides the foundation for our plans to double market share over time. In addition to our investments in Deckorators and retail more broadly, we have identified growth runways across each of our other business units that meet our high return threshold. We remain committed to our plan to invest $1 billion in growth capital investments over the next five years, but also maintain the flexibility to pivot some of that capital earmarked for greenfield operations to M&A should the right opportunities arise. We would prefer M&A to greenfield expansion in most cases, but only when valuations are in line with our expectations for return. Our goal with all investments is to expand our growth runways in new and value-add products, strengthen our core portfolio, and improve our cost position and become more efficient across all layers of the organization. All of these projects will be accretive to margins, either by improving product mix or by lowering our manufacturing cost. We will continue to invest heavily in automation, technology, new product development, and capacity expansion that will leave us better positioned to drive margins and create shareholder value. In all cases, any investments are expected to meet our internal return on capital threshold. M&A has always been an important part of UFP's history and a key part of our growth strategy. And as I mentioned a moment ago, we are willing to pivot more towards acquisition growth versus greenfield growth should the right opportunity arise. Our M&A team continues to be extremely active, and we would say our pipeline is better today than at any point over the past few years. I think some of this is that the expectations between what buyers want and what sellers are willing to pay has rationalized as earnings are normalizing post-COVID. Some of the recent macro uncertainties have likely contributed to this uptick in activity as well, given the fragmented nature in many of our markets. Regardless, we want to grow sales aggressively, but we will be mindful in that we are growing the right sales that drive higher margins and support our strong return profile. We also view share repurchases as an attractive way to return capital to shareholders and have been very active through April. With the additional $100 million authorization provided by our board, we anticipate remaining active throughout Q2 as long as the price is below our target. Turning quickly to our segments, retail sales declined 3% in the quarter compared to a year ago. Results were largely driven by 4% decline in volume, with 1% positive pricing helping offset. Much of the quarter decline was due to a customer shift within our Deckorators business, which will become less impactful as the year progresses. With new product placement and recent distribution wins taking place throughout the spring season, we expect this business will help offset soft demand. We expect the Deckorators business will build momentum through the rest of the year as more stores begin to stock our Surestone decking. Profitability should improve also as our capital investments not only expand our capacity, but allow us to produce more efficiently. On the ProWood side, recent price increases should help offset material cost increases. Packaging unit sales declined 2% in total and 3% excluding the acquisition of pallet manufacturer C&L Wood Products this past December. Weaker sales in our structural packaging and PalletOne businesses drove the declines. Pricing remains competitive and recent increases in material costs have pressured margins further. We've said on calls in the past that if we aren't at a bottom, we continue to think we're getting close. Construction sales were largely unchanged from year ago levels. A 3% boost in volumes for the business unit was offset by a similar decline in price in the quarter. Strength in our factory-built business was largely offset by softness in our site-built business. This trend has shown up in our results for the past several quarters, and with a downgraded housing outlook and many home builders lowering their full year forecast, we expect this dynamic will remain through the balance of the year. Turning to our outlook, we expect the business conditions that impacted our first quarter results will carry over for the remainder of 2025. News around tariffs on Canadian lumber has only created additional headwinds. The 90-day reprieve on any tariffs has helped the overall lumber market remain relatively stable, but the overall environment is fluid, and if something changes, the industry would most likely see some levels of inflation as prices are ultimately passed along to the consumer. From an impact standpoint, we'd note that we import less than 15% of the lumber we purchase from Canada. We'd also note that Southern Yellow Pine is domestically produced and represents over 70% of our purchases of lumber. Historically, a tighter lumber market has allowed us to have better availability of product, including low-grade for packaging applications as a result of our scale. This has allowed us to improve our market share and lower costs. Along those same lines, softer patches in the economy have allowed UFP to use our scale, strong financial position, and lower-cost manufacturing position to gain share in the marketplace. While all of this uncertainty is contributing to a lack of visibility beyond the first half of 2025, regardless of the outcome, we remain confident in our ability to navigate any potential tariff impacts. Longer term, we are well-positioned to take advantage of favorable demographic trends in an underbuilt housing market. We plan to position our business to take market share as well. We remain committed to our long-term targets, which include 7% to 10% unit growth, 12.5% EBITDA margins, all while maintaining our strong return on capital profile and conservative capital structure. The timeline to achieve these targets is pushed out due to the current economic environment, but the goals remain unchanged. Before I turn the call over to Mike, I want to thank our 15,000-plus employees for their hard work and dedication. The uncertain macroenvironment will undoubtedly pass, and it is with their effort that we'll emerge from this period a much stronger and more profitable company.
Mike Cole : Thank you, Will. Our consolidated results this quarter include a 3% decline in sales to $1.6 billion, driven by a 2% reduction in volumes and a 1% reduction in selling prices. The decline in selling prices primarily resulted from a slower start to the year and weaker demand, which led to more competitive pricing in our construction and packaging segments. The volume declines were primarily due to a seasonally weaker January and February across most business units. Lower volumes, pricing pressure, higher material costs, and a less favorable product mix weighed on profitability this quarter, as adjusted EBITDA declined 21% to $142 million, while our adjusted EBITDA margin fell to 8.9%. Even with these headwinds, our return on invested capital remained resilient at 15.5%, well above our weighted average cost of capital. We believe this highlights the strength of our business model and the efforts of our team, demonstrating the strong returns our business can achieve, even when faced with more challenging market conditions. Our balance sheet continues to be a competitive advantage for providing us with the flexibility to pursue our financial and strategic objectives to drive sustained returns and long-term value, even in uncertain or challenging environments. Moving on to our segments, sales in our retail segment were $607 million, a 3% decline compared to last year due to a 4% decline in units, partially offset by a 1% increase in price. The unit decrease was comprised of a 3% decline in volume with big box customers, while our volume with independent retailers declined by 7%. By business unit, we experienced a 3% decrease in ProWood and an 11% decline in Deckorators. The majority of the Deckorators' decline was driven by a customer change that temporarily reduced volumes as we transitioned business. This was primarily experienced in our railing and wood-plastic composite decking categories, as our sales of these products dropped 26%, while our sales of Surestone decking increased 24%. Surestone was more than 50% of our total composite decking sales this quarter, and will continue to benefit from the Summit product launch, expanded distribution, new and more efficient capacity coming online, and our increased marketing efforts to build the Surestone brand. Our year-over-year gross profits and gross margins declined in retail due to the decrease in volume and unfavorable manufacturing variances given the slow start to the year, as well as higher material costs on certain products sold with a fixed price. However, we're optimistic our margins will improve in future quarters given recent price increases implemented to offset these higher costs and benefits for more efficient manufacturing as a result of capital investments made to produce our Surestone product. Our operating profits in retail declined by roughly $20 million as a result of the decline in gross profit, as we were able to hold SG&A flat as an increase in Deckorators' advertising costs was offset by a decrease in bonus expense. Moving on to Packaging, sales in this segment dropped 3% to $410 million, consisting of a 3% decrease in organic units and a 1% decrease in selling prices, partially offset by a 1% increase from the recently completed C&L Wood Products acquisition. Customer demand in this segment remains soft, and the environment remains competitive, but we continue to gain share with key customers. As a result of soft demand, competitive headwinds, and an increase in material costs, our year-over-year gross profits dropped by $16 million for the quarter, and gross margin declined by 316 basis points. The margin decline was also due to an unfavorable change in product mix this quarter, as our largest and most profitable business unit, Structural Packaging, experienced the greatest decline in volume. Operating profits in the packaging segment declined by almost $10 million to a total of $22 million for the quarter, due to the decrease in gross profits offset by a $6 million decrease in SG&A, primarily due to lower bonus and sales incentives and our cost reduction efforts. Turning to Construction, sales in this segment were largely flat at $516 million, as a 3% decline in selling prices was substantially offset by a 3% increase in units. The increase in volume was due to a double-digit increase in our factory-built business and low single-digit growth in both our commercial and concrete-forming business units. These increases were partially offset by a mid-single-digit decline in our site-built business. The volume increase in our factory-built unit was primarily due to an increase in industry production, as this market continues to outperform. Selling prices were largely stable across the business, with the exception of our site-built unit. Gross profit for the segment decreased by $24 million year-over-year, with gross margin down 448 basis points, driven by the decline in site-built selling prices, higher material costs, and a less favorable product mix, as site-built comprised a lower percentage of our total sales. Our operating profits declined by $18 million, to a total of $28 million for the quarter, due to the decline in gross profit, offset by a $6 million decrease in SG&A, due to lower bonus and sales incentives and our cost reduction efforts. As we progress through this cycle, we're mindful of our cost structure and working to strike the right balance of making sure the company is appropriately sized relative to demand, while still investing in the resources needed to achieve our strategic long-term objectives for growth, product innovation, building brand awareness, and improving our efficiency through technology. Our consolidated SG&A expenses declined $16 million for the quarter, due to a $14 million decline in bonus and sales incentives, and a $2 million decline in our core SG&A, which includes a $5 million increase in our Deckorators' advertising costs to support the Surestone Summit product launch, as we remain excited about the growth opportunity of this brand. Looking forward, we've targeted an annual run rate of EBITDA improvements from cost and capacity reductions of $60 million in 2026. Our plan for SG&A expenses this year, excluding highly variable sales and bonus incentives tied to profitability, remains at $565 million. This is flat when compared with 2024, and is comprised of $26 million of anticipated cost reductions, offset by $6 million of planned increases, primarily associated with new greenfield operations, technology improvements and product innovation, and a $20 million increase in our Deckorators' advertising spend as we invest in building the Surestone brand. We're also planning for current year bonus expense of 16% to 17% of pre-bonus operating profit, $27 million investing expense associated with prior year share grants, and sales incentives of about 3% of gross profit. In addition to SG&A cost reductions, we've taken actions to curtail capacity at locations that are not meeting our profitability targets. We are confident these actions will have a favorable impact on gross profits, totaling at least $15 million in 2025. Based on the actions we've taken to date and opportunities for continued improvement, we're optimistic we will achieve our 2026 goal. Moving on to our cash flow statement, our operating cash flow was a use of $109 million in the quarter, compared to a use of $17 million last year, primarily due to our seasonal investment in net working capital, which was $55 million higher this year, as well as a decline in net earnings and non-cash expenses, which were $37 million lower. We expect the seasonal increase in net working capital of $239 million to be converted to cash by the end of Q3. Our investing activities included $67 million in capital expenditures, comprising $19 million in maintenance CapEx and $48 million of expansionary CapEx. As a reminder, our expansionary investments are primarily focused on three key areas. Expanding our capacity to manufacture new and value-added products, geographic expansion in core, higher-margin businesses, and achieving efficiencies through automation. Finally, our financing activities primarily consisted of returning capital to shareholders through almost $21 million of dividends and $70 million of share repurchases during the quarter. Turning to our capital structure and resources, we continue to have a strong balance sheet with nearly $905 million in surplus cash, while our total liquidity, including cash and amounts available to borrow under our long-term lending agreements, is $2.2 billion at quarter end. With respect to capital allocation, we remain committed to a balanced and return-driven approach. As we've discussed, our highest priority for capital allocation is to drive organic and inorganic growth that results in higher margins and returns. Our strategy also includes growing our dividends in line with our long-term anticipated free cash flow growth, repurchasing our stock to offset dilution from share-based compensation plans, and opportunistically buying back more stock when we believe it's trading at a discounted value. With these points in mind, our board approved a quarterly dividend of $0.35 a share to be paid in June, representing a 6% increase from the rate paid a year ago. On April 23, our board amended and increased our share repurchase authorization from $200 million to $300 million. The authorization expires on July 31, 2025. During the first quarter, we repurchased 649,000 shares for $70 million, and so far in April we've repurchased over 1 million shares for $107 million. Our remaining authorization through the end of July is $122 million. Regarding capital expenditures, we currently plan to approve new CapEx projects totaling $300 million to $350 million for the year. Through the end of March, we've already approved $167 million, with another $87 million pending approval. Large projects this year include expanding our capacity to produce our Surestone product, our corrugated packaging footprint, and our site-built presence in Utah. Finally, we continue to pursue a pipeline of M&A opportunities that are a strong strategic fit while providing higher margin, return, and growth potential. As we pursue these opportunities, we'll remain disciplined on valuation. I'll finish with comments about our outlook. On our last call, we guided to expectations for modest declines in demand and pricing in each segment through the first half of the year. We stopped short of providing context for the full year given the uncertainty in the market. At this point, visibility into the second half of the year has become even more challenged. As Will indicated earlier, we saw revenue and profit momentum improve through the quarter. Still, many of the same market dynamics and uncertainties remain in place, so we continue to approach the second half of the year with a sense of caution. The prospect for tariffs only adds more uncertainty and increases the likelihood of inflation and demand challenges going forward. Against this backdrop, we anticipate demand will remain slightly down in each of our segments through the remainder of the year. While we believe demand in factory build will increase, we believe it will be offset by declines in site build and the other business units in our construction segment. As a result of a soft demand environment, we anticipate competitive pricing will continue. Positively, we anticipate market share gains in most business units will help mitigate the decline in demand and benefit the company going forward. In the current environment, we'll continue to focus on what's in our control to manage through these more challenging conditions in the short term, reducing costs, eliminating excess capacity, and divesting underperforming assets while positioning ourselves for eventual improvements in market demand and executing our strategies to drive long-term growth and margin improvements. With that, we'll open it up for questions.
Operator: [Operator Instructions] Our first question will come from the line of Kurt Yinger wit D.A. Davidson.
Kurt Yinger: Great. Thanks and good morning, everyone. Just on the outlook, it seems like some of the caution around demand is prudent at this stage. I'm curious, when you talk about kind of the competitive dynamics and pricing pressures persisting, is the expectation that maybe those get incrementally more challenging kind of as the year progresses or just that kind of the current set of challenges remains but is kind of stable sequentially over the next few quarters?
Mike Cole : I guess I'll jump in on that one. Kurt, at this point, we're expecting that the current challenges to continue in future quarters. When I look at the packaging segment, margins there are up a little bit from Q4, which you'd expect with volumes improving a little bit. But it seems like margins there have more or less stabilized. The challenge there, though, is that we have had some cost increase that has been difficult to pass along fully. On the construction side, the site built area in particular has been more challenged. And so you saw a big step down in the construction margins driven by pricing challenges in site built. I would expect those to continue for the balance of the year. And like packaging, we've experienced cost increases on the material side of things, lumber in particular. And it'll be challenging, I think, in a softer demand environment to pass those maybe fully along to builders. So I think those areas, I think we expect them to continue the trend we saw in Q1. Positively, though, I think in retail, it's a completely different story. I think you're going to see benefits on the Deckorators side from the more efficient capacity coming online in Q2. And then the cost increases we've seen on some of the fixed price products, we've had success in implementing price increases as an offset. And so those weren't fully enacted in Q1. So we expect to get the benefit of those more or less going forward for the balance of the year. So more optimistic on the retail side, bouncing up and more or less continuing in the tougher environment for the other two segments.
Will Schwartz : Well said, Mike. Nothing to add there.
Kurt Yinger: That's great. And it kind of dovetails into my next question that you referenced around lumber prices, right? And historically, the business has done a great job kind of managing fluctuations there. I think with the variable versus fixed price, you kind of have a natural hedge. But it does seem like a unique environment in terms of demand soft, competitive pressures. But at the same time, lumber has been inflationary. I guess, how do you balance the desire to pass that through and not see that kind of price COGS spread narrow versus the desire to keep the plants busy and the recognition that there is some cost absorption if you walk away from business at this stage? I guess, how are you kind of managing that balance in the current environment?
Will Schwartz : Yes, that's a really good question. What I would tell you is we do not want to give up market share. At the same time, we're managing those margins. We think we can mitigate most of those increases. But we want to retain and grow market share, as Mike described in his script. So we're going to continue to fight that. We know that packaging and construction will be more difficult than retail, but certainly don't want to give up market share.
Mike Cole : And the team is well aware of what market pricing is and what their variable costs are. So they're making good business decisions every day about market share.
Will Schwartz : Absolutely.
Kurt Yinger: Got it. Okay. And then just lastly on Deckorators, you referenced some of the timing dynamics that impacted that this quarter. Is that something that you expect to kind of be fully in the rear view as we move into Q2? And all considered, I guess, how are you thinking about Deckorators growth this year? Is it somewhat of a transitional year? And as those new retail wins ramp, maybe 2026 we're talking about growth? Or can we get to year-over-year kind of sales growth this year, even with some of those timing dynamics?
Will Schwartz : Yes. So certainly timing in the first quarter hit us. Q2, we're about 30% of the way through that load-in that we talked about on the last quarter call, the 1500-plus stores, the Surestone product. So you'll see that really taking place in Q2. We believe by the end of the year; we'll actually have gains over 2024 in volume. And the secondary piece that I would add to that, the margin piece on the Deckorators side, we didn't really realize the benefits of a lot of that capital expenditure piece. And in fact, it probably hindered us in Q1 in the load-in as we're still working through CapEx improvements, a lot of disruption at the plant that also will take place in Q2. That'll be behind us. So we believe the second half of the year will be really good.
Operator: One moment for our next question. And that will come from the line of Reuben Garner with Benchmark.
Reuben Garner: Thanks. Just to follow up on that Deckorators’ comment, just to be clear, are you fully missing business with one retailer and only partially way through the load on the other side? And that's why there's a volume headwind. How do we think about that? Or are there still headwinds to come? I know you've got a lot of moving pieces there.
Will Schwartz : No, no real headwinds to come. You described it well. It's just transition periods. That's, for the most part, behind us. And you'll see that really change in Q2.
Reuben Garner: Okay. And then a longer term question on Deckorators and the capacity you've added. Can you update us on kind of what capacity you will have after this latest round of announcements in terms of revenue opportunity and how that kind of compares to what revenue you did in 2024 in Deckorators?
Mike Cole : Yes, there's three parts to the capacity increase, I think, for Deckorators, Reuben. There's about $100 million, I'd say, in capacity that's more recently added at our Selma plant. There's another $100 million that'll come into play later this year from a further expansion there. And then we have the Buffalo plant, which we're really excited about. This should be fully operational early next year. So the two expansions at Selma, again, $100 million each. And then the Buffalo expansion gives us the ability to get to that goal, that five year goal of doubling our market share. But it also allows us to look at new products, manufacturing new products, the term product, for example, that you saw at IDS.
Reuben Garner: So, Mike, just to be clear, I mean, does that imply that you're more than doubling your capacity? I assume there's market growth baked in. In addition to doubling your market share, you've got a growing market over the next five years. Am I thinking about that the right way? Or would you need incremental capacity additions to get to that goal?
Mike Cole : You're exactly right, Reuben.
Reuben Garner: Okay, and then a follow-up on the competitive pricing comments you made, I guess, specifically in site built. I want to be clear. So this has gone on for a few quarters now. Is your expectation that you'll still have year-over-year headwinds in the second half, meaning it's kind of sequentially getting worse at this point? Or have you seen a stabilization in pricing there and we're just not anniversary-ing the start of it yet?
Mike Cole : Visibility is tough, Reuben. There's a significant step down from Q4 to Q1, obviously, you can see that in the margin for construction, and that's really driven by site built. We're expecting at this point that trend continues forward. So I think this is a time when seasonality, we've always encouraged you to look at year-over-year when looking at modeling. But I think this is a time where cost and price trends really kind of lend itself to looking at the sequential trends as well. And I think going from Q4 to Q1 and seeing that adverse price trend and the cost trend as well, I think you want to look at carrying those forward. With respect to whether or not we've found the bottom, I think that's tough to say. I'm reading through what your question is. Visibility is just too tough to be able to say, I think, right now.
Operator: One moment for our next question. And that will come from the line of Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Good morning, Will and Mike. And thanks for taking my question. Coming back to Deckorators, is there any way to sort of just rough order of magnitude the EBITDA impact in Q1 from this customer shift that we are talking about in retail? Is there any way for us to sort of just think about that?
Mike Cole : Well, you have an 11%, I think, unit decline. And so I think you probably have maybe enough information to take the 11% unit decline and estimate an incremental impact there. But I think, and I'd just throw in there as well, that the manufacturing variances associated with the decline in units were a negative $2 million. And so obviously, we're looking at those things, obviously, reversing going forward. We think that the sales will pick back up. The manufacturing variances will be eliminated. And then back half the year, once that more efficient capacity comes online, margins will improve materially.
Ketan Mamtora: Got it. So it's fair to say, then, this sort of 11% volume decline is all due to this volume shift and underlying market from what you guys see is kind of flattish at this point. Is that a fair way to think about it?
Will Schwartz : Yes, that's fair. Absolutely.
Ketan Mamtora: Got it. And then as we move from Q1 to Q2, just to sort of clarify, should we assume that all of that, all of this shift has played out? And as we move into Q2, we are kind of back to kind of more normal sort of business trends? Or there is some sort of this shift still left to be played out in Q2?
Will Schwartz : Yes, Keaton, I think that's a fair assessment. I think by the time we have that load in, we see and realize the remainder of that store load in, you'll see more normalized levels. And then second half of the year, I expect that to actually be up year-over-year.
Ketan Mamtora: Understood. Okay, got it. And then just switching to M&A, I mean, to your comments in the prepared remarks that the M&A pipeline is quite active. I'm curious, as you see the world today, on one side, you have kind of macroeconomic uncertainty, which should in some ways provide opportunity for you guys. Balance sheet is obviously very strong. Where do you see the most opportunity from a growth standpoint? In recent years, we've seen kind of investment, M&A investment in packaging. But curious, as you see the world today, where do you think there is most M&A growth opportunity?
Mike Cole : Yes, so I'll hit on that one a little bit. The exciting part for us is really we see opportunities existing in each of our BUs and runways. We've got a much more robust pipeline than we've had in the past. And so we see opportunities across the board. And we're actively pursuing that. If we see that we can't get something done in one, we can pivot to another. But we have a very defined pathway to growth, which is also one of the reasons that you didn't see a greater share buyback number, because we really want to weight that towards growth. And we think we're going to have more opportunities going forward than we've had for the last few years.
Ketan Mamtora: Got it. And Will, is the preference still for tuck-in style M&A? Or would you also be open to something larger if the right opportunity were to come?
Will Schwartz : I think both. Tuck-ins is just a part of what we've done. We would certainly look at larger transactions. PalletOne and Spartanburg and Sunbelt transactions. We've had a lot of success with. I think when it comes to larger transactions, you can take comfort from the fact that we're going to be very disciplined on valuation. We're going to be very disciplined on capital structure. And we're going to stay close to the core in what we know.
Operator: And we do have a follow-up question. And that will come from the line of Kurt Yinger with D.A. Davidson.
Kurt Yinger: Great. Thanks for taking my follow-ups. Just on ProWood, historically, I believe that's kind of a pretty explicit price mechanism kind of tied to publish market pricing. It sounds like there was a price increase maybe separate from that. So can you just help me understand, I guess, what that price increase was, as well as maybe a little bit of a refresher on the fixed price products that would be under that kind of ProWood umbrella?
Will Schwartz : So, yes, first of all, let me talk about that. So ProWood, during the quarter, following up on previous years, we experienced some cost increases that it took a little time through the quarter to get passed along to customers. And we were able to do that. So that should be behind us, as well. And you'll see more normalized margins in that space as we move through Q2 and through the rest of the year. Between the fixed and variable pricing, there is a portion of the business that is a little bit fixed based on some of the more value-added products that are worked through the year. But most of the business that is, we'll call it more on the commodity side, is directly tied to the market indicators and moves on a weekly basis. So we feel like most of that's behind us, and more normalized margins going forward will be realized.
Kurt Yinger: Okay, that's great. And then just lastly, on the two-step expansions you'd referenced, clearly that should kind of support the growth in the retail business that you're seeing. How does that fit into the strategy in terms of maybe expanding share in the dealer channel? And does this maybe represent a shift in terms of your own strategy of what has historically been more of a kind of self-distribution model?
Will Schwartz : No, really good question. It's actually both. It shows the value that's seen in our products and in the mix, and we continue to grow with traditional two-step distributors, but we continue to also grow internal. And it's one of the things we've talked about for the last few years. It's actually one of the things that we've invested heavily in to be able to utilize our existing facilities to get product to the end customer. It's actually very healthy and gives us access in places that we might otherwise not be able to get to. So it's a long-term strategy for us. We'll continue to work both ways.
Operator: And we do have a question coming from the line of Jay McCanless with Wedbush Securities.
James McCanless: Hey, good morning, everyone. Thanks for taking my questions. The first one I had, so James Hardie has announced that they're going to be buying ASX. Assuming that deal is successful, what type of opportunities does that open up for Deckorators and for Surestone in the market if you have one of the larger players maybe going through a transition period?
Will Schwartz : Yes, I look at that. We look at that activity. And obviously, you got two really respected, well-operated companies, both with good brands, good products. And the best thing I could explain to you is really a carryover from the last question I answered, which is, if anything, I see potential disruption in two-step distribution and really just gives us even more reason to invest heavily in our own ability to get product to market if it becomes more challenged and more leverage is placed there. But that's all I can really add there color.
James McCanless: Understood. And then my second question, can you talk about the concrete forming business? And it sounds like the Trump administration is trying to pull back on some of the spending that had been allocated through JOBS Act, et cetera. Are you seeing any cancellations there, people slow walking business? What's going on with that, please?
Will Schwartz : No, not really. We haven't really seen anything substantial in that space. And I would tell you that the value-added products that we're able to create and put in the field continue to gain market share. And so we haven't seen that or experienced it today.
James McCanless: Okay, that's good to hear. And then I think you talked about ProWood and how you've been able to pass pricing through. Are there any other commodity goods we need to be mindful of where you've been able to raise price along normal contract lines and should help on the margin side?
Will Schwartz : Nothing specific to speak of. Again, we continue to experience pressure in the two spaces, construction and packaging the most. But nothing really there to speak of greater than that.
Mike Cole : Yes, the biggest cost by far, Jay, is lumber and panel costs. And so experiencing the cost increases there and having some success passing along just not fully is encouraging, but still more work to do.
Operator: Thank you. I'm showing no further questions in the queue at this time. I would now like to turn the call over to Mr. Will Schwartz for any closing remarks.
Will Schwartz : Thank you. Thanks again for taking time to join the call today. Despite this more challenging macroeconomic environment, we remain confident in our ability to navigate and win thanks to the people and strategies we have in place. Thanks and have a great day.
Operator: This concludes today's program. Thank you all for participating. You may now disconnect.